Michel Morin: Hello, everyone and welcome to our Fourth Quarter 2023 Results Call. This event is being recorded. Our speakers today will be our CEO, Mauricio Ramos; our President & COO, Maxime Lombardini; and our CFO Sheldon Bruha. The slides for today's presentation are available on our website, along with the earnings release and our financial statements. Now, please turn to Slide 2 for the safe harbor disclosure. We will be making forward-looking statements which involve risks and uncertainties and could have a material impact on our results. And on Slide 3, we define the non-IFRS metrics that we will reference throughout the presentation, and you can find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Mauricio Ramos.
Mauricio Ramos: Good morning, and good afternoon, everyone. Thanks for joining us today. As you likely recall, we set four key priorities at the beginning of 2023. We will update you in detail on each of these priorities in the next several slides, but here are the key highlights. First, we continue to make very meaningful strides in executing Project Everest to improve our operational efficiency across the business. During the fourth quarter, we implemented Phase 2 of the project in each of the nine countries where we operate. The headline is that we are exceeding our own expectations for cost savings. Second, in Colombia, the strategy we laid out some years ago and our increased focus on driving profitability are now really paying off in a combined manner. EBITDA was up more than 24% year-on-year, excluding severance, and the margin reached 38%, which is another record for this business. This, even as we continue to build our mobile subscriber base. We are achieving this while also optimizing our CapEx because we are now harvesting the very significant investments we have made in Colombia over the past several years. As I told you during our Q3 call, we're not done yet in improving Colombia. In fact, our performance in Q4 does not yet reflect the additional actions we have taken in the quarter and in January of this year. So stay tuned for more on Colombia. Third, in Guatemala, the strategic initiatives we put in place over the past couple of years to protect our business are also now paying off. During Q4, we were able to build on the progress we made throughout the year, and we had strong prepaid service revenue growth on a sequential basis compared to Q3, much higher than what we have seen in the last few years. You will recall that we raised prices on our most popular prepaid plans in mid-September. The market has reacted positively, and we have decided to pull through a price increase on all of our remaining plans in early February of this year. So, we continue to feel cautiously optimistic about the outlook for top line growth in Guatemala going forward. Fourth, on Lati, our regional tower portfolio, we launched the monetization process during Q4. Because this is an ongoing M&A process, that's all we can say about this for now. So again, stay tuned on Lati. And finally, here's the combined effect of all these initiatives put together, the punchline, if you will. We are raising our outlook and we're now targeting equity free cash flow of around $550 million for 2024. As a result, for the three year period between 2022 and 2024, the cumulative outlook is now for around $700 million of equity free cash flow. Often, you have heard us say that our equity free cash flow for the 2022-2024 period will be back ended, and that 2024 would be the year of the cash flow. We're now ready to deliver on that promise. The strategic initiatives initiated over the past few years, combined with a revamped and reinforced focus on profitability are making this happen. Now, let's review each of these points in more detail beginning with Project Everest on Slide 6. For this, I have asked our COO Maxime Lombardini to share with you the key components of the extensive program.
Maxime Lombardini: Thank you, Mauricio and hello, everyone. As many of you recall, Millicom began implementing its efficiency program at the beginning of 2023, and initially communicated an ambition of achieving run rate savings of more than $100 million by year end 2024. Shortly after I joined the company in early September, we increased the scope of Phase 2 of the program, to include deeper headcount reductions and cost savings initiatives in our centralized functions. During Q4, we extended Phase 2 to each one of our country operations, unlocking total savings of more than $250 million. And it is important to emphasize that we have already implemented a vast majority of the initiatives that are needed to deliver those savings this year. So, the achievability of our targeted savings is not only largely in our control, but also already in the bank. You can start to see some of these savings in our Q4 results with EBITDA excluding severance reaching almost $600 million, which is a record high for the company. And I'm pleased to tell you today that we are off to an excellent start in the first two months of the year on both service revenue and profitability. On this slide, we have summarized for you the most important action that we have taken, and the areas where we have focused our efforts. I won't discuss of each points, but suffice to say that the efficiency program is not just about reducing headcount. Yes, Headcount is an important contributor and close to 5,000 employees left the group. But as I told you on the Q3 call, we have been reviewing all of our spending. Strong control on OpEx, employee recurring cost, contents, external services, real estate optimization, IT and network OpEx, and a huge work on optimizing CapEx has been done too. We invest where and when it has a strong impact on quality and sales. This cost control is backed by an ambitious simplification plan. We are simplifying the legacy of our portfolio and streamlining the IT to make it more flexible and less expensive. And even though we are still in February, I'm already beginning to work with the teams to identify the next round of opportunities that will allow us to reduce costs further in 2025, without sacrificing any of the investments that are needed to grow our customer base and revenues, and sustain our network quality and market leadership. And one more thing. Being back to profitability is a good news for the shareholders, but it is important for the employees and managers too. I feel a strong support to the strategy. Mauricio, back to you.
Mauricio Ramos: Thank you, Maxime. I want to recognize and thank both you and Atlas for helping us take Project Everest, and please do excuse the pun, into new heights. Atlas has helped make the project far more ambitious, its reach wider, and its execution faster, and your leadership in execution, Maxime, has been fantastic. Now, let's look at Colombia in more detail on Slide 7. As I told you a few moments ago, our plan to improve profitability in our second largest country operation is really beginning to pay off. EBITDA is up more than 24% year-on-year excluding severance, thanks to record margins. And as Maxime mentioned, we optimized CapEx and this drove a very strong increase in OCF in 2023. And we have achieved this while maintaining strong commercial momentum in our mobile and B2B businesses. And we also saw improving trends in our own business during the fourth quarter, even though we continue to remain very disciplined in Colombia. The point we're making is that we're beginning to harvest the very significant strategic decisions and investments that we have made in Colombia the past several years, including the following: First, we bought and renewed spectrum that has allowed us to add coverage and capacity on our mobile network. This has led to a big improvement in customer experience, and it has also helped to strengthen our brand, and we have gained market share despite the arrival of a new and disruptive entrant in the marketplace. The strategic move and its associated investment wave started in 2020 during the pandemic, and it is now winding down. Second, over these years, we have deployed tens of thousands of kilometers of fiber. We built state-of-the-art data centers and we retooled our sales force to capture our share of the rapid growth we're seeing for cloud and other digital services from our B2B clients. Again, much of this investment is also behind us. Third, and after many years of investing to upgrade and replace our legacy copper network and to grow our customer base, we implemented a number of commercial initiatives in early 2023, aimed at reducing churn and improving the profitability of our home business in Colombia. Looking forward, we expect to see further improvement in the financial performance of our Colombia business. Specifically, our agreement with Telefonica to combine our mobile networks and spectrum portfolios will unlock very important cost, CapEx, and spectrum synergies beginning this year. You already saw that at the end of December when we bought 5G spectrum in Colombia jointly with Telefonica, thanks to this initiative. We should benefit from the various actions taken as part of Project Everest during Q4 and in January of this year. When we put all of this together, and that is a key point, we see Colombia showing a very significant improvement in equity free cash flow in 2024. In fact, because of these initiatives combined, we expect Colombia will be the biggest contributor to the year-on-year improvement in cash flow in 2024. And we are targeting that Colombia will be equity free cash flow breakeven this year. With that, all of our country operations are expected to be equity free cash flow positive this year. Now, please turn to Slide 8 to look at Guatemala. As you know, our focus over the past year or two has been to help bring about a more stable competitive dynamic. The most critical prerequisite for this is to have a level playing field with regards to spectrum and to network. As you know, for the last three years, our competitor perceived that it had an advantage on spectrum, and its attempt to leverage that perceived advantage led to disruptive pricing in the market. As you know, we have now solved for this after completing two very successful and transparent spectrum auctions. This has freed up a lot of capacity on our networks, and there's now spectrum parity, and we're starting to see more rational pricing behavior in the market. As you may recall, we raised prices on some of our prepaid plans in mid-September, and we've seen the market react positively to this. As a result, we saw an encouraging uptick in prepaid revenue, when you compare Q4 sequentially to Q3. This is working out the way we had expected, and we have gone ahead and implemented a similar price increase on our remaining prepaid plans in early 2024. So the outlook for Guatemala is improving as we long expected it would while investing in spectrum and network capacity. We're now modestly optimistic as pricing and revenue trends have stabilized, efficiencies from Project Everest are lifting margins, and the spectrum we acquired is allowing us to optimize our network investments. So in summary, our plan for Guatemala is beginning to show it is working. As a result, we expect Guatemala will be the second biggest contributor to the year-on-year improvement in equity free cash flow in 2024. Now let's move to Slide 9 on Lati. As I said during my introduction, we launched the monetization process during Q4. This process is marching on, so there is not much that we can or should say at this point as we're in the middle of active M&A activity. Before turning the call over to Sheldon, I would like to very briefly summarize what we have done to prepare the company for this moment, to make it the platform that it currently is, to help make 2024 the year of our cash flow. First, we invested heavily in network and spectrum. Some of you will recall a time when TIGO was primarily a prepaid mobile operator with a legacy copper network in Colombia. Today, we're market leaders in mobile and we have become one of the top providers of fixed services to both residential and to a growing number of B2B customers. This is a direct result of the very significant investments we have made to deploy fiber and other digital infrastructure across our entire footprint. Second, as we evolved from prepaid to subscription-based customer relationships and revenue streams, we invested to make sure we could deliver the best possible customer experience, and we embrace the use of digital tools to do this in a cost effective manner. Third, these steady investments have helped to fortify the strength of our brand. Tigo is top of mind in all of our markets, not only as a leading provider of world-class telecom services, but also as an employer of choice, which attracts the best local talent and leads by example by doing business the right way. Fourth, we have reallocated capital in a very, very meaningful way by disposing of all of our assets in Africa where we had no scale, and by reinvesting to build what is today a number one position in Panama, both in mobile and fixed in just over four years. Panama is the most stable and fastest growing country in the region, with a dollar economy and a stable industry structure today, and to increase our ownership in Guatemala, our most cash generative operation, and also a stable economy with a stable currency and a stabilizing two player market. Based on our 2024 budget, we expect these two stable countries, Guatemala and Panama, where we have deployed most of our capital over the past few years to be the two largest contributors to our group equity free cash flow in 2024, again, Guatemala and now Panama. These significant capital allocation decisions over the past few years have helped us create the platform that we have today. And as Maxim explained earlier, we now actively are moving to a cost structure that will help us harvest the fruits of these investments, set colloquially, to make the platform now profitable, to drive material increase in equity free cash flow beginning in 2024, to make 2024 the year of our cash flow. With that, I will hand it over to Sheldon to discuss the financials for the quarter.
Sheldon Bruha: Thank you, Mauricio. Now, let's look at our Q4 financial performance beginning on Slide 12. Service revenue was $1.38 billion in the quarter, which was up from $1.28 billion a year ago. Excluding the impact of FX, organic growth was 3.2% in the fourth quarter. Our mobile businesses have low single digits, while fixed and other services grew mid-single digits. The faster growth in fixed largely reflects the contribution of large B2B contracts during the quarter. B2B, which includes mobile, fixed, and digital services, grew at 19.6%, our strongest growth rate in recent years. Going down further on Slide 13 for the service revenue by country, Guatemala declined 2.3%, mainly due to the benefit of the World Cup in Q4 of 2022. Excluding this effect, the service revenue decline narrowed to 0.5% versus last year, the second consecutive quarter of improving revenue trends. Columbia's service revenue grew 3.4% in local currency as mid-single-digit growth in mobile, and high-single-digit growth in B2B more than offset the decline in home. Panama's service revenue grew 18.9%, fueled by large B2B contracts, and the strong growth in mobile. Bolivia's service revenue grew 0.8% with growth in mobile and B2B offset by a decline in home, where we continue to prioritize price discipline. This was the first positive quarterly service revenue growth in five quarters as we have now fully lapped the prepaid data regulatory impact from August of last year. Paraguay service revenue grew 5% in local currency, with all three business units contributing. This rounded off a very strong year for this business in which service revenue grew 7% in 2023. Finally, our remaining markets in Central America performed reasonably well. El Salvador performance was flat, but this compares against a robust performance in Q4 of 2022. Okay. Turning to EBITDA on Slide 14. EBITDA of $557 million was up 1.6% year-on-year from $548 million from a year earlier. Excluding the impact of foreign exchange, EBITDA declined 2.2% on a constant currency basis year-on-year. However, included in Q4 EBITDA were $42 million of one-off severance costs related to Project Everest, which I'll talk about later. Excluding severance incurred in Q4, EBITDA would have been approximately $600 million and would have grown 5.3% organically. Now, turning Slide 15. During Q4 2023, we continued the implementation of the second phase of Project Everest, which resulted in one-off severance expenses in all nine of our countries of operations. All of the Q4 2023 figures on this slide have been adjusted to exclude such severance. Guatemala EBITDA was nearly flat, excluding the effect of the World cup in Q4 of 2012, EBITDA would have grown 2.6%, marking a notable improvement from recent trends driven by improved pricing trends in prepaid mobile as well as our cost initiatives. Colombia EBITDA accelerated 24.5% organically due to both mobile revenue growth and home price discipline, as well as savings from Project Everest. The EBITDA margin was a record 38.4%. Panama EBITDA grew 10.8%. As I mentioned earlier, we had a lot of B2B revenue in the quarter and some of this is coming in with lower margins, which is why you see margin decline in year-over-year. Paraguay EBITDA also grew 10.8% organically and the EBITDA margin expanded to 45.2%. We're very pleased with our performance in Paraguay in the quarter, and for 2023 as a whole. Bolivia EBITDA declined 4.6% due to a $3 million regulatory fine attributable to historical year. Otherwise, EBITDA was flat year-over-year. El Salvador EBITDA declined 0.9%. As I mentioned earlier, Q4 of 2022 was a strong quarter, so we had a more challenging comparison there. Nicaragua EBITDA increased 8.4% in local currency with all business units contributing to the solid performance. Finally, for Honduras, which we do not consolidate, EBITDA rose 5.7% in the quarter as well as for the full year, with EBITDA margins of 46.3%, the second highest of the group. Now, please turn to Slide 16 for an update on Project Everest. During the fourth quarter, we continued the implementation of Phase 2, which involved headcount reductions of approximately 20% on average in each of our nine countries of operations. This is on top of the almost 40% headcount reductions we previously announced in our headquarter and centrally-managed functions. This resulted in $42 million of additional severance costs in the quarter, bringing the full year total to $87 million. In addition, as we finalize Phase 2 in the first few months of 2024, we anticipate taking additional charges of between $30 million and $35 million in the first half this year. Most of this relates to Columbia, where we executed on a voluntary retirement program in January. As a result of all these actions, we now anticipate to realize total savings of more than $250 million from this program. This is more than double our initial ambition. And as Maxime commented, a vast majority of these cost saving initiatives have already been implemented, and so we are highly confident in our ability to deliver these savings in 2024. Now, please turn to Slide 17 for our usual net debt bridge. During the quarter, net debt declined by $53 million to end Q4 with just under $6 billion of net debt. The key factors that contributed to the decline in net debt were $39 million of equity free cash flow generation during the quarter, $74 million benefit from our partner share of the equity capitalization in Colombia, and $13 million from having repurchased bonds below par value. During the quarter, we repurchased and canceled $80 million face value of bonds. Additionally, we repurchased and canceled just over another $100 million face value of bonds in the beginning of 2024. These factors were partially offset by $48 million from the revaluation effect of the stronger Colombian peso on our local currency denominated debt, $17 million of taxes related to the carve-out of Lati, and approximately $7 million of share repurchases and other minor items. Beginning in Q4 2023, we have amended our definition of leverage to conform with our most common practices amongst our peers. We now define leverage as a ratio of our net debt over latest 12 months of EBITDA after leases. And on this basis, leverage ended Q4 at 3.29 times, down from 3.32 times at the end of Q3. Now, please turn to Slide 18 for a look at our equity free cash flow in 2023 compared to 2022. Equity free cash flow in 2023 was an outflow of $18 million excluding $17 million of Lati carve-out taxes, and this compares to an inflow of $171 million, excluding Africa in 2022. The changes year-on-year are explained primarily by the following items. On the negative side, we had $143 million increase in spectrum payments to acquire new spectrum in the 2.6-gigahertz and 700-megahertz band in Guatemala, and to renew our 1,900-megahertz license in Colombia; $117 million decline in EBITDA from continuing operations, primarily due to $106 million of one-off expenses related to the organizational restructures and to an adverse rulings in Colombia, as well as increased competitive intensity in Guatemala; and $71 million increase in finance charges due to an extra $23 million semi-annual coupon on the Guatemalan Comcel bonds issued in January 2022, higher rates on our variable rate debt primarily in Colombia, and commissions on the purchase of dollars in Bolivia. On the positive side, we had the following items: $84 million reduction in tax payments due to lower taxable profit in 2023 and the impact of a $40 million tax amnesty in 2022; $15 million reduction in working capital due to collections on receivables from a large B2B contract in Panama as well as the effect of severance and legal ruling expenses not yet paid; and $26 million reduction in cash CapEx, reflecting lower levels of commercial activity and investments in our home business unit, especially in Colombia and Bolivia. Now, please turn to Slide 19. As we have announced today, we are targeting equity free cash flow of around $550 million in 2024. This implies free cash flow of around $700 million for the 2022 to 2024 period, which compares to our previous three-year target of around $600 million that we communicated in December. Underpinning the increased target and the stronger equity free cash flow outlook in 2024 are higher expected savings from Project Everest that we discussed earlier in the presentation, lower expected capital expenditures and spectrum spend, as well as the strong start to the year that we are seeing in January and February that Maxime indicated earlier. This outlook for free cash flow generation puts us back on track to bring leverage down below 2.5 times by 2025. This target excludes any cash proceeds and related taxes stemming from potential Lati transaction, and excludes cash proceeds from the separate tower transaction we announced in Columbia. With that, we're now ready to answer your questions.
A - Michel Morin: Thank you, Sheldon. We'll now begin the Q&A session. And as a reminder, if you would like to ask a question, please let us know by emailing us at investors@millicom.com, and we will add you to the queue. Our first question is coming from Marcelo Santos at JP Morgan. Marcelo. Line is yours.
Marcelo Santos: Thank you. Good morning to all. Thanks for taking my questions. I wanted to ask two. The first is regarding the outlook for Colombia margins. So you reached a new record. What's the ambition here? And aren't margins a bit abnormally low because you're not adding so much broadband adds? So how -- what's the impact of your more like -- I imagine in the future you want to have more adds. So, if you were back to the normal pace of ads, what would be the impact of margins? And the second question is, on Project Everest, I imagine part of those costs were already -- cost savings were already reflected on 2023 numbers. So, what's the incremental cost saving of 2024 versus 2023? Understand there's a run rate, but what should we see as incremental savings versus what was already reported in the year? Thank you.
Mauricio Ramos: Thank you, Marcelo. As usual, let me take Colombia a little bit big picture first, and the outlook for Colombia, and then of course, I'll hand it over to a combination of Sheldon and Maxime, who can give you the operational CapEx and financial details around Project Everest. Listen, on Colombia, the outlook has dramatically improved since back in the summer, when we were dealing with a capital infusion, and a ton of uncertainty around whether we will be able to pull together or not the final details around the combination of our network with Telefonica. Over the last couple of years, as you know, we've been able to invest in that 700-megahertz network, which has proved to be phenomenal for us to gain mobile market share volume. Pricing has become more stable as the new incumbent has realized that that is a better strategy for them to grow revenue in the marketplace. And of course, we've put a joint network with Telefonica that has allowed us to buy spectrum together. So, you're already beginning to see the improvements on Columbia. All of these combined a more rational pricing market, and our ability to combine network and spectrum with Telefonica, the pickup in volume that we have had as a result of the 700 megahertz, and now significant savings from Everest, and efficiencies coming from Everest, make the outlook for Colombia quite positive. And that's why you heard us say during the call that we believe Colombia going forward can deliver a lot more, and as a matter of fact, it's a country, as you heard us say many, many times, that was not making equity free cash flow. And in 2024, we're aiming for breakeven or positive and that makes it the largest contributor to our equity free cash flow swing. Now, Everest, in its revamped, strengthened form also had an impact in Colombia, and I'll hand it over to Sheldon and Maxime to give you more details.
Sheldon Bruha: Well, I can make a few comments just on Columbia first of all, look, you would have seen in our subsequent events of our earnings release that we had also just implemented a new voluntary separation plan in Colombia here in the -- just launched in January. We've occurred about $17 million of costs related to that so far that's ongoing, but look, I think what I'm highlighting there is that just builds in extra cushion here for us on margin on that business to absorb things like you're saying if we accelerate more on the home side. So, I do feel like, that's the -- that severance program or that separation program plus other initiatives going in place in terms of simplification and other things we're trying to do around the business do provide us here some flexibility and buffer here to absorb on the margin side -- to absorb and pick up on the home. On Everest, in terms of how we're exiting the year, look, we're not being sort of specific maybe as we had been on some of the other programs. I would just highlight the following. I think what's important to highlight is, is really where we're exiting the year on an EBITDA basis from -- on a run rate. You can see if you add back the severance charges that we had here in Q4 of about $42 million, our EBITDA for the quarter was just under $600 million, like $599 million. That's a good reflection of sort of -- of kind of the run rate of the business as we're exiting the year was $2.4 billion on a run rate basis, we annualized that. That does not reflect all of the opportunities yet that we're -- that we still have to implement and we did mention a lot of that. A lot of those opportunities have been implemented, but there's still some stuff to come, the Columbia one which I just mentioned. So, I'll expect to see further opportunity on -- from Everest rolling into the numbers in 2024 to benefit the EBITDA line as well service revenue growth, which we'll anticipate as well for the business.
Mauricio Ramos: Okay. Maxime, anything to add to that?
Maxime Lombardini: I just can add a few comments just to explain why we increased the run rate saving on Project Everest. I joined the company in September. We started immediately with the team to reduce the headcount at the headquarter, and then we increased the scope of this headcount reduction, but as you can imagine, we cannot execute everything immediately. So, most of it have been done during the Q4, but part of it is still ongoing. That is the first point. The second point is that there were many contracts with commitment till the end of 2023 that we've cut, but the full effect will come later -- will come in 2024 including important contents -- contracts and subcontractors. All the effects of the simplification of the way we work, the way we organize the company, the process will take full effect in 2024 and many other, I would say, smaller items such as the way we organize advertising, the way we manage the roaming, the way we optimize the real estate, everything has been dealt during the end of 2023, but you will see the full effect in 2024. That is the reason why the run rate saving. We are quite comfortable with the figures that we've disclosed because most of them are already, as we said, in the bank, and we have still room for maneuver.
Marcelo Santos: Perfect. Thank you very much.
Mauricio Ramos: Overall, Marcelo, it feels like Colombia is now well-understood and under control. Pricing is more stable. We got network and capital synergies, and spectrum renegotiations are behind us. We have the ability to work on network spectrum with Telefonica. So it really is a more positive outlook on Colombia overall.
Michel Morin: Thanks, Marcelo. Next, we're going to go to Phani Kanumuri at HSBC. Phani, the line is yours.
Phani Kanumuri: Thanks, everyone, for taking my question. So, the first one is on your free cash flow guidance. When we met last time during the quarter conference call, it was announced you had a cumulative guidance of $500 million. Now, you have increased this to almost $700 million. All that -- is all the incremental guidance coming from organic growth due to Project Everest or is there some kind of inorganic contribution? And can you also talk about one of the -- any one of impacts like the legal case with Telefonica that the recent New York [indiscernible] has given. That's the first question.
Mauricio Ramos: So as you can imagine, we imagined ourselves that there would be some questions around this revamped guidance. So, we're going to tackle it three ways to give you a holistic response to you, Phani, and to everyone on the call who surely have the same kind of questions. One is, where each one of the big contributors to equity free cash flow pickup are coming from, and this will be consistent with my prepared remarks. I'll give you more detail on that. Then, Sheldon will give you a little bit more detail on kind of the P&L items that contribute to this equity free cash flow, and then Maxime will further ratify that with the operational and Everest view on this. So, you get a holistic answer to this and kind of lay all your questions. So number one, in terms of where we see the equity free cash flow coming from. I already addressed Colombia, so I'm not going to repeat. Colombia is a meaningful contributor to our swinging equity free cash flow for the strategic reasons that I just mentioned, and for the results of the projects that allow Colombia to grow in margins, and have more equity free cash flow productions. I'm not going to repeat those because we've addressed them significantly. The second largest contributor is Guatemala. For the last three years, you have seen us invest in the density of the network in order to, quite frankly, defend our market share. We also have had to invest in spectrum in order to be able to have a better network experience and spectrum parity, and we've seen pricing pressure as a result of the perceived lack of spectrum or network parity. That has changed dramatically over the last two quarters because we've been able to buy spectrum. With that spectrum, we're now able to optimize the network. And as a result of that, we're no longer investing in spectrum and the investments in the networks can be optimized in rational going forward. And as I said in the prepared remarks, we have a more stable, rational pricing environment. So as a result of that, Guatemala is significantly coming back to growth, and you layer on top of that margin expansion as a result of Everest on a revamped way. So in synthesis, Guatemala is also working. So, we've really put Colombia under a controlled environment, growing environment, the same with Guatemala and those are our two largest markets. But if you add to that Panama, and if you recall from my prepared remarks, we were not in Panama four years ago. We're now Number 1 in Panama and it is our second largest contributor to equity free cash flow in 2024, right next to Guatemala as the Number 1 contributor. So, you put these three contributions, then you add on top of that Everest, and the increased, bolder ambition on Everest, and you get a view for why 2024 is the year of cash flow. And if you look at this holistically, over the last six months, once we were able to strategically start showing the work of the last few years, working out in Colombia, working out in Guatemala, we were able to really focus on Everest and increasing Everest and the methodology, the challenge, and the support, and the execution that Atlas and Maxime brought into the team came at the right perfect timing because the platform changes were now ready for that profitability boost, and that's why I publicly said thank you because the timing was perfect and the methodology and the execution was really good. So, that's an additional element to this free cash flow revamped ambition. But we've also, as we've also said before, are now in a lower spectrum spend environment. 2022 and 2023, as we always said, were the years in which we would have to renew spectrum in Colombia, buy spectrum. We've done that, 5G in Colombia with Telefonica, we bought [indiscernible] in Guatemala. So going forward, we're looking at more normalized views on spectrum. And of course, we've invested heavily on Lati. And as I said earlier, we are now more in the monetization phase of Lati, but that was an investment that happened. When you put it all together, it comes into 2024 being the year of our cash flow. Now, with that sort of big picture, I'll hand it over to Sheldon to give you details and Maxime to show you the good stuff that we're doing on margins and efficiencies.
Sheldon Bruha: Sure, Phani. I think your main question is sort of how we -- why the increase of guidance kind of from the time period of December until today. Look, I'd say part of this. There probably was some conservatism in what we said in December as we were still, had a lot of these plans in flight, and was trying to [indiscernible] stuff get implemented. I think Maxime mentioned a lot of the things that he sort of brought to bear when he started reviewing and getting involved in sort of the adverse activities. And you can see the upgrade and what we've done around the Everest ambition from sort of the $135 million we talked about at Q3 to like the -- over $250 million today is really tantamount to all those things we were doing in Q4. So, I think we were a little bit cautious as we were sitting in December. I think once we had the opportunity to see sort of how all that made itself out in our numbers for financial results for the full year, plus the start we've had at the beginning of this year in January, and what we see here in February has given us the confidence to raise that outlook and raise the numbers and provide what we said to you in the results today.
Maxime Lombardini: Just -- I think if you allow me, I can rephrase your question, which is in a way is the cash generation for the company something viable and just to complement the words from Mauricio and Sheldon, I would say there are five good reasons that, I trust, will support the cash generation for the medium and long term. The first one is the way the company works. We are changing the way the company works by simplifying many, many things. And that by simplifying you are saving costs, you are more efficient, more flexible. That is the first item. The second one is the one that we mentioned many times, the cost structure. It will not be the same anymore on many topics. I will not enter into the details that. The third one, which is probably undervalued, is the network optimization. We started a huge work with the contribution of Atlas on simplifying and optimizing the mobile network and the home network. And on top of that, we will have the benefit of the network sharing in Colombia. That is a huge benefit both on spectrum cost, efficiency coverage, quality, and cost. The fourth one, it is something that is not easy to show, but that is the commercial initiatives that we are launching in all the countries. And I've been very impressed by the commercial team of TIGO on both B2C and B2B. They are really top guys and there are many things that we can do with the strong assets that we have. And then the fifth item is something which is very simple and I would say it is pure mathematics. It is the deleverage of the company -- deleveraging the company will improve the cash generation.
Mauricio Ramos: Hopefully, Phani, that gives you the strategic, financial, and operational view. And if that is convincing, then just sit tight as we deliver it.
Phani Kanumuri: Sure. Just -- so my second question is regarding the pricing environment in Guatemala. You said it was becoming much more stable. So, are you seeing the competitors raising prices, or do you think that your network -- better network is helping retain subscribers and increasing your ability to raise prices? Thank you.
Mauricio Ramos: Maxime, do you want to take that one, and provide a fresh view for Guatemala?
Maxime Lombardini: I would say optimistic and cautious. We are back to a situation which is quite nice. As probably Sheldon said before, the compares are not very easy because we had the World Cup effect one year ago, but we increased price. The KPIs are good, we have a good team there. The situation is, I think, after a trouble period, stabilized and now we are with government and everything going well in the country. So I would say reasonably optimistic on the future of Guatemala. And as you can imagine, we are spending a lot of time with the team there to be sure we have the right commercial positioning, the right network at the right place, and that all the investments that needs to be made are made.
Mauricio Ramos: Actually speaking, as you know, we raised prices in September of last year. That created a more rational marketplace. So, those price increases have stuck and we're doing a little bit more beginning of this year because we believe the environment is a lot more stable with the network parity and the spectrum parity that we now have. So we are -- I think, we've used the words modestly, cautiously optimistic about Guatemala, but we also have the ability now to rationalize the network which Maxime alluded to. So, Guatemala is now the cash flow producer that we all know it is.
Phani Kanumuri: Perfect. Thanks, everyone.
Michel Morin: Thanks, Phani. All right, next we're going to go to Soomit Datta at New Street Research. Soomit?
Soomit Datta: Yes. Hi, everybody. Thanks very much for letting me ask a question and congratulations on the performance. A couple of things please. Maybe just sort of pulling the conclusion together on equity free cash flow. It sounds like there's nothing particularly unusual in the 2024 guidance, and so should we think of the $550 million as a floor number going forward? Doesn't strike me that we should think anything different, but be interested in your interpretation. Wondered if there was anything unusual in working capital, if spectrum was going to be particularly low, if there was some sort of detail there that isn't obvious, but otherwise would be interested in your sense looking beyond 2024. That's the first question. Maybe leave it there and I'll return to a follow-up, please.
Mauricio Ramos: Soomit, you're making everyone here very, very, very anxious with your very smart way of asking for future guidance. It's really good. Michel's not in the room, but I can hear him just trembling there, right. Let us answer it twofold. One kind of -- we'll provide guidance beyond 2024 at the right time. For now, we're focusing on cementing at 2024, and I think it's the right focus for us. But I will say just a little bit to make the team a little bit uncomfortable. It is sustainable and it can be grown because we've now on spectrum, reached levels that we think are more noble. As I said before, 2022 and 2023, as we always said were the years of high spectrum spend, and we've done that significantly both in Colombia with the renegotiations and Guatemala with the acquisitions. We now have a joint venture in Colombia that allows us to tackle Colombian spectrum in a much more efficient way. The cost structure changes that Maxime has alluded to has been instrumental in putting in place our long-term cost structure so the platform becomes more profitable, and all of our countries are equity free cash flow positive. Colombia has seen the darkest moments over the last couple of years and we've been able to sort it out. Colombia seems on a track to be sorted out. Guatemala already alluded, we defended our market share on the prior question. I was simply going to add our market share remains the same, pricing is stable, we got spectrum parity so Colombia seems on track. And Panama is everything we expected it would be when we acquired those two businesses four years ago. So, without giving you specifics, we are positive that this is sustainable equity free cash flow levels and growth.
Soomit Datta: Okay, helpful. Thank you. Can I just turn to the top line then? There was a nice lift from the B2B contract in Panama. I think underlying revenue growth is maybe running at 2%, give or take. How do you think about that looking forward, and again, not looking for numbers, but in terms of home, I think we're maybe sort of flat to down slightly underlying -- mobile growing a little bit, B2B is lumpy, but just thinking how you think about the sort of overall revenue mix component, and if you can, on the ability to sort of raise that current run rate of growth looking forward. Thank you.
Mauricio Ramos: I'll give it a big picture and Maxime can definitely and please add to that. We're still on?
Michel Morin: Yes. Sorry, our camera went dark.
Maxime Lombardini: Okay. Our camera went dark, so as long as we're still on. So listen, postpaid on mobile is driving a lot of growth both in terms of additions and in terms of pricing. And you've seen that particularly in Colombia and Panama, but prepaid is also coming back, particularly in Guatemala. And we're also seeing improving trends in Bolivia and mobile. Home, a continuation of what we said in the last couple of quarters, we're being a lot more price disciplined and maintaining installation fees. It means lower volume as you've seen in Colombia and in Bolivia, but it means sustained ARPU and sustained revenue on home. And I think that's the right approach. And I think Maxime and Atlas and ourselves view eye-to-eye on that. And B2B as you've seen is delivering with both the digital and cloud products, but also new contracts that we are achieving, particularly in Panama. So, we're focused on the top line in that manner. And Maxime, I can't really see you on the screen, but if you have anything to add, just shout.
Maxime Lombardini: Yes, I think I am still on the screen, for me at least. I will just add some comments on the home business. The home business was a bit in a flat -- flattish situation, and we started working on something quite simple which is to upgrade very significantly the capacities of the HFC networks. We are lucky because the quality of this HFC network in most of the geographies is good and with limited CapEx, we are able to very significantly increase the bandwidth we can deliver. So from time-to-time, we have to deliver also a new CPE to the customer, but that is something that we pushed on all the geographies where there is a need. And together with the revamping of some offers, we are able to be really competitive on the market with a very low CapEx intensity to deliver something which is drastically different from the past. And that, together with the discipline that Mauricio mentioned, just to avoid to put CapEx in a country or in a situation where the churn is very high, we are monitoring the payback of the investors -- of the subscribers, sorry. And I would say we are reasonably optimistic on what we can do with the 14 million households that we have passed in HFC. And on mobile, nothing to add to what Mauricio said. Things are going well in most of the geographies.
Soomit Datta: Got it. Very clear. Thank you.
Michel Morin: Thank you, Soomit. All right, next, and I think this will be our last question, is coming from Eduardo Rubi at UBS. Eduardo?
Eduardo Rubi: Hi. Thanks for taking my question. Two questions from my side. First, in terms of capital allocation, can you please compare how you evaluate allocation between debt repurchase and stock repurchase? And second, given the debt repurchase and current rate and FX environment, what figure should we expect for financial expenses going into 2024? Thank you.
Mauricio Ramos: The first one, Eduardo, I'll take, and then I'll hand it over to Sheldon for the second one in a lot more detail. Our capital allocation methodology, as you can imagine, and as we've said a number of times is basically highest return oriented with a view toward strategic investments as well, meaning stuff that has long-term return on capital. At this point in time, with our growing cash flow and our leverage coming down to the state of 2.5 times, sooner than we had expected, we continue to view debt reduction as the highest return to our shareholders. So that's where our current focus is on and that's all I'll say on that because I think that is probably the most productive answer we can give you. And on the details on question number two, I'll hand it over to Sheldon.
Sheldon Bruha: Sure. I would just highlight, yes, we expect sort of finance charge improvements this year, particularly as we deploy sort of the cash flow generation that we've highlighted. In terms of debt reduction, I'm not going to give you specific guidance on it, but, I mean, absolutely, we're going to be looking for improvements there for the year and you can kind of do some math, so you can sort of forecast how that $550 million of equity free cash flow will come through the year and kind of the interest rate savings associated with it.
Eduardo Rubi: That's okay. Very clear. Thank you very much.
Mauricio Ramos: Gracias, Eduardo.
Michel Morin: Thanks, Eduardo. All right, so that wraps up the Q&A. Mauricio, back to you for any closing remarks.
Mauricio Ramos: Sure. Thanks to Sheldon, Michel, and Maxime for participating and for the entire TIGO team to make this come through. Thank you all for joining us today. As you can see, things are coming together after a lot of work by a lot of people, Colombia is under control and with an improved outlook, Guatemala, indeed, is under control and with an improved, yet cautiously optimistic outlook. Panama is turning out to be what we expected it would be when we bought the asset, and we've allocated capital to Guatemala and Panama, and we're happy we did because those are our two largest cash flow producers. Everest, which is now revamped, increased, broadened, is giving us a cost structure that we think will make our platform a profitable platform, and this is a wording that Maxime and I and the team speak about, a platform and making it profitable. We've now seen the worst of the spectrum renewals and the spectrum costs. So going forward, we're looking at more normalized spectrum spend as we anticipated and we're looking forward to Lati and our ability to monetize some of that. When you put it all together in a cost structure that we think can give us increased margins and sustainable profitability, all of that leads to 2024 being, as we've often said before, the year of our cash flow. And thank you.